Operator: Greetings and welcome to the TEVA Pharmaceutical Industries Limited Third Quarter 2011 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kevin Mannix, Vice President of Investor Relations. Thank you, Mr. Mannix. You may begin.
Kevin Mannix: Thanks (Rob). Good morning and good afternoon, everyone. Thank you for joining us today to review Teva’s third quarter 2011 earnings results. I am joined today by our CEO, Shlomo Yanai; our Chief Financial Officer, Eyal Desheh; Bill Marth, President and CEO of Teva Americas; Dr. Gerard Van Odijk, President and CEO, Teva Europe. Shlomo will begin by providing an overview of the third quarter performance. Eyal will then provide additional details on our consolidated financial results. Before turning the Sholo we will provide an updated outlook for 2011. We will then open the call to question-and-answer period. Before we start, I’d like to remind you that our discussions during this conference call will include forward-looking statements. Actual results could differ materially from those projected in the forward-looking statements. The factors that could cause actual results to differ are discussed in Teva’s 2010 annual report on Form 20-F and our report on Form 6-K. Also, the discussions during this conference call will include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found at Teva’s earnings release issued earlier this morning which can be found in our website. I will now turn the call over to Shlomo. Shlomo, if you would please.
Shlomo Yanai: Thank you, Kevin. Welcome everyone and thank you for joining us today to review Teva’s results for the third quarter of 2011. Overall, our efforts in the quarter yielded mixed results against a backdrop of important strategic moves both on the blended and generic forms. We saw sales increased by 2% year-over-year to $4.34 billion which produced quarterly operating profit and net income of $1.3 billion and $1.1 billion respectively. This brought us to an EPS at $1.25. All of these metrics represented sequential growth compared to the first and second quarter as we have guided. A combination of strong performances from multiple business units are what enabled us to exceed our guidance for the third quarter, despite reduced sales in the U.S. generic business. There are positive contributions from the majority of our business units, especially from our blended franchises, but also from our generic businesses, in Europe and the emerging markets which continued to exhibit strong growth. Their performances were extremely important in providing balance in the face of significantly reduced generic sales in our largest market in the United States. Here the business continued to struggle to replace expired 180 day exclusivities from the year ago period, which as you know were not only significant contributors to sales, but we are a bottom line as well. I would like to discuss the U.S. performance in greater detail than I normally do, because it is important to appreciate the difficult comparison. If you look at 2010, how generic version of Effexor XR, Hyzaar, Cozaar, Mirapex, and Yaz generated revenues totaling almost $1.4 billion including $560 million in the third quarter of that year alone. Now, fast forward to 2011 and the combined sales of these same products will total just $350 million for the entire year including $58 million in the third quarter, replacing this sales from 2010 has proven to be a challenging task, one, which has been compounded by the fact that we have been missing an important undisclosed launch due to timing of FDA approval. We are hopeful that this product will be launched in Q4. The U.S. remains a key market for Teva and continues to be the largest generic business in the world. The dynamics of the U.S. generics market are changing. However, we still see great potential for growth starting with the recent launch of Olanzapine and continuing next quarter which we expect to be a strong quarter for our U.S. generics business. We are pleased by the significant we made at both the Irvine and Jerusalem manufacturing facilities as we put the quality issues experienced at these facilities beyond that. Qualities are a top priority and we are working diligently to pay the system improvements, we have made at these facilities and implement them throughout our network of manufacturing facilities around the world. And now, I would like to turn to some of the more positive highlights in the quarter. Europe and emerging markets continued to display impressive growth benefiting from a level of diversity that has alluded other operating in these regions. Europe was especially impressive growing sales by 24% in local currencies to $1.344 million. Our organic growth rate for the Europe business was 9% while in our five major European markets sales grew organically by an average of 14%. And this September for the first time, Teva became the number one generic pharmaceutical company in Germany by both volume and value. We attribute the strength in this region drive unique position as a true pan-European company. We have diversity throughout the 27 countries that make up this region which reduces our dependency on any one country. In other ex-U.S. regions, Latin America posted 22% organic growth reaching more than $200 million in sales. I am pleased with the progress we have made now which as the business exceeded $350 million in organic growth of 16% for the quarter. This was largely due to record generics sales in Russia which grew organically by 27%. In Japan, pharmaceutical sales reached $195 million for the third quarter and I will provide additional information on that country shortly. All of these markets and others are relevant to our long-term strategy which includes growing our leadership position in the global generics market. We strive to be a global dominant generic player and we want to do these across the globe whether it is in the GGX, the generic-generic market, the BGX market, the blended generics market, (indiscernible) markets or governmental models which ever model, Teva’s size and scale, as the global generics market leader represents the significant competitive advantage as we continue to diversify our generic business not just by form, but also by geography. Moving now to our blended businesses, COPAXONE led the way with a 26 increase in in-market sales that totaled more than $1 billion. Our flagship product continues to leave the U.S. and global multiple sclerosis market in both sales and market share including a 3.5% year-to-date in U.S. prescriptions as patients and physicians seek treatment with prudent long-term efficacy and safety. We believe this will sell the product well even as the market awaits the introduction of additional oral therapies, which would certainly extend the market. Last week, we held a meeting with FDA to discuss the NDA for Laquinimod. Following the meeting, we now believe that it would be premature to file an NDA at this time. We will continue to start the Laquinimod and are pleased that FDA has offered to work with us to determine the best design for conducting an additional trial. (All of its) Teva’s long-term strategy is to build on our blended and specialty pharmaceutical business, full diversification and expansion of our product portfolio and pipeline while enhancing our position of the worldwide leader in generics. During this quarter, we sold 30% year-over-year growth in our U.S. respiratory business. The addition of Theramex to women’s health helped to offset the loss of patent protection from Seasonique in the U.S. in this quarter. We expect to see continued growth in this area over the coming years. We further expanded our specialty blended business on October 14 when we closed on the acquisition of Cephalon. Our newly expanded portfolio in CMS oncology, respiratory, and women’s health together with our robust pipeline of more than 30 late-stage product position us as the leader in specialty pharma. We are very excited by the opportunities that lay ahead. As a result of the combination of our blended businesses under the leadership of Kevin Buchi, who will be supported by Dr. Lesley Russell, Head of Global Blended Research and Development and John (indiscernible) Head of Global Blended Marketing. In fact, Kevin and Lesley are here in New Zealand this week meeting with their staff as we speak. Since the announcement of this acquisition in May, the role that was done by the integration teams and the bonds that they form were unlike anything I have seen before. This positions us to have our most successful integration to-date. 2011 has been a challenging year for Teva somehow also shadowing the excellent progress we have made on our strategic initiatives. We have diversified our generic businesses by acquiring Taiyo and Teva-Kowa in Japan, the second largest market in the world thereby the laying this building blocks for our plan future growth in that country. This move solidify our position has the true needle in the sub-generic market in the world, we are number one in North America both United States and Canada, number one in Europe and number three in widening in Japan. As I discussed earlier, the acquisition of Cephalon further positioned Teva is the world class specialty pharmaceutical business. In our alliance with P&G further expense our footprint in another dimension of pharmaceutical care. Also see from protocols, our important parts of the health system not only in the U.S. but even more so throughout the world. Thank you for your attention and now let’s turn the call over to Eyal for a more detailed financial update. Eyal?
Eyal Desheh: Thank you, Shlomo and good day everyone. I hope you have had an opportunity to review the press release which we issued earlier today. The results for the quarter were dominated by strong performance in our European and international businesses as well as our major branded businesses, which managed to offset another challenging quarter for Europe generic business. We then operate the strength of several balance business model. Before we go into the numbers, I’d like touch on two topics, first I would like to remind everyone that we are presenting GAAP and non-GAAP results. In a non-GAAP presentation, we have excluded the following items this quarter. Amortization of purchase intangible assets amounting to $161 million of which $151 million is included in cost of goods sold and the remaining $10 million in selling and marketing expenses. I’d like to remind you that we started reporting amortization of Ratiopharm intangible in Q1 of this year; restructuring and acquisition expenses and impairment of assets of $52 million related primarily to the acquisition of Ratiopharm in Taiyo, costs related to regulatory action taken in facilities of $35 million, which relates primarily to quality issues in Irvine and our animal health business, an inventory step up of $19 million relating to the acquisition of Taiyo, purchase of research and development in process of $15 million, income of $1 million is connection with the prevision of legal settlement and revert in related tax effect of $86 million. We should note that the items excluded in arriving at our non-GAAP results for the third quarter of 2010 are not identical to those in the current quarter. Please review our press release and related tables for reconciliation to our GAAP numbers and more complete information. As indicated in the past, we present non-GAAP figures to show you how the management team and our Board look at our financial results. And second, foreign currency continued to have an impact on our results this quarter, influencing our P&L as well as our balance sheet. In the third quarter, foreign currency differences had a positive impact of approximately $148 million on sales and $15 million in non-GAAP operating income as compared to Q3 2010. On the other hand, foreign currency had a negative impact on our equity. The strength of the U.S. dollar on September 30 compared to June 30 primarily relative to the euro and other European currency will boost our equity by approximately $1.3 billion. Looking at our consolidated results for Q3, sales totaled $4.3 billion, an increase of 2% compared to Q2 last year and an increase of 2% compared to Q2 this year. Sales in North America declined 20% from Q3 2010. Our U.S. generic unit, which had another particularly soft quarter because several products that were major contributors to sales in the comparable quarter of 2010 most notably well effecting had lower our note for this quarter and at the same time there were no significant launches in the quarter to offset this. We continue to expect the first quarter to be stronger than into the first three quarters in 2010 following the launch of olanzapine last week. Sales in Europe grew 34% in U.S. dollars and 24% in local currency due mainly to the consolidation of Ratiopharm results. But it is important to note that we again saw organic growth in generic sales in Europe beyond the consolidation of Ratiopharm calculated of which Ratiopharm and Paramax were a part of Teva in Q3 2010. Generic sales in Europe grew 7% organically compared to Q3 2010, and Germany continued to perform well where generic sales growing 8% organically. Sales in our emerging market Eastern Europe, Middle East and Africa, Latin America and Asia grew 56% in U.S. dollars and 15% in local currency, with strong organic growth in the first time including of sales of higher. In addition, we continue to see double digits organic growth in Latin America and Russia. Non-GAAP gross profit margin, which excludes amortization of purchased intangible assets, cross related to regulatory action taken in facilities and inventories step up was 56.4% in the reported quarter compared to 62.5% in the quarter last year, resulting primarily from the significantly smaller contribution of high margin generic products in the U.S. Non-GAAP operating income and non-GAAP operating margin were $1.3 billion and 30.3%, down from $1.4 billion and 33.9% in Q3 last year. The decline in operating margin resulted from the decline in high margin generic products in the U.S. with offset by significantly lower SG&A expenses in the quarter. Non-GAAP net income was $1.1 billion down 6% compared to $1.2 billion in Q3 2010. Non-GAAP fully diluted earnings per share were $1.25 compared to $1.30 in Q3 last year. The weighted average share count used for calculating fully diluted non-GAAP earnings per share was 890 million shares. Now let’s discuss operating expenses. Net R&D expenses totaled $227 million or 5.2% of sales slightly lower than the $239 million in Q3 last year. The decline in net R&D expenses is attributable mostly all the legal expenses in connection with a generic R&D and timing of projects and does not reflect the cut in R&D investment. Gross R&D in Q3, which includes participation of third parties, totaled approximately $248 million or 5.7% of sales. Selling and marketing expenses excluding amortization of purchase intangible assets totaled $496 million this quarter or 18.3% of sales, compared with 17.5% of sales in Q3, 2010. Higher selling and marketing expenses resulted from the consolidation of Ratiopharm and Taiyo. Total G&A expenses this quarter were $112 million or 2.6% of sales compared with 5.5% of sales in Q3 last year. The significant decline in G&A expenses this quarter resulted primarily from again recorded in connection with the acquisition of Teva-Kowa and additional interest in acquisition in quarter totaling to about $135 million. In Q4, we expected G&A expenses to occur into regular levels of approximately 5% of sales. We reported $67 million of non-GAAP financial expenses in Q3, 2011 compared with $48 million in the comparable quarter of 2010. Higher financial expenses resulted primarily from higher interest expenses due to the debt incurred to financial Taiyo acquisition and expenses including connection with hedging activity. The non-GAAP tax expense for the third quarter was $119 million of pre-tax net income of $1.249 million. Our current estimate of the non-GAAP annual tax rate of 2011 is 10% compared to 13% for 2010. The low non-GAAP tax rate for 2011 resulted from a particular mix of products at our manufacturers and geographies where Teva benefits from tax incentives. The estimated GAAP tax rate for 2011 is 4%. Now, let’s have a look at our cash flow. Cash flow in this quarter was not consistent with a typical run rate and resulted from a combination of advance which we do not expect to repeat. Cash generated from operations this quarter totaled $482 million compared to $1.2 billion in Q3, 2010 due to lower collection, inventory buildup, and actual payment of legal settlement and restructuring expenses reserved in Q2. Our free cash flow excluding net of capital expenditures of $276 million and dividend payments of $204 million amounted to only $2 million. Cash flow in Q3 was relative to record high Q2 of $1.3 billion in operating cash flow and it is expected to revert to strong typical levels in Q4. During the quarter, we bought back 6.1 million shares at an average price of $42.3 per share for a total of $254 million. Since we started this buyback program in December 2010, we have repurchased 17.9 million shares for a total of $838 million, reflecting an average price of $47.47 per share. On September 30, cash and marketable securities totaled $1.3 billion, essentially flat compared to June 30. Our total outstanding loans, bonds, and convertible debentures stood at $8.2 billion, up approximately $1.8 billion from $6.4 billion as of the end of June as a result of the additional debt incurred primarily in connection with Taiyo. Following the close of the Cephalon acquisition, our debt stood at $14.7 billion. Our financial leverage as of September 30, 2011 was 26% compared to 21% at the end of June. The increase resulted from additional debt incurred in connection with the acquisition of Taiyo as well as the negative impacts foreign exchange have on our equity. DSO or day sales outstanding declined to 36 days this quarter compared to 41 days in the previous quarter and 32 days in Q3, 2011. We calculate DSO after netting out from receivables, our sales reserves and allowances. Inventory days stood at 198 days, up from 178 days in Q3, 2010. The increase in inventory days compared to last year resulted from foreign exchange differences as well as preparing for volume growth in the U.S. generics expected in Q4. Gross capital expenditures grew $276 million this quarter compared to $224 million in Q2, 2011. The increase in CapEx resulted from one-time expense in connection with the site purchase in the United States. Dividend, on Monday, Teva’s Board approved a quarterly net dividend amounting to approximately $194 million. On a per share basis, our dividend, which is declared in Israeli shekels, is 0.8 shekels per share. Based on yesterday’s rate of exchange of the shekel to the U.S. dollar, this translates into approximately $0.219 per share. Before I turn the call to Shlomo to discuss guidance for Q4, I would like to say something about disclosure and information. Following the acquisition of Cephalon, we intend to modify our presentation of information and the level of detail to be provided. We will provide more product level sales data to our branded business as well as additional sales information by market. Shlomo, please continue.
Shlomo Yanai: Thank you, Eyal. The closing of the Cephalon transaction provides us with an opportunity to update our guidance for the year to reflect its inclusion. The company now projects 2011 full year revenues to be approximately $18.3 billion to $18.6 billion compared to the previous range of $18.5 billion from $19 billion. The company also expects the non-GAAP earnings on a fully diluted per share basis to be in the range of $4.92 to $5.02 compared to the previous estimated range of $4.19 to $5.20, the mutual year estimate now include a non-GAAP EPS contribution of approximately $0.15 from the consolidation on the Cephalon acquisition. The full year 2011 range implies fourth quarter performance of revenue of $5.7 billion to $6 billion and non-GAAP EPS of $1. 53 to $1.63 the range for the fourth quarter are nearly reflects the uncertainties about the turning of the regulatory approvals and all the dynamics of promotion conditions of launching the undisclosed generic product in the U.S. that I referenced at the beginning of my remarks. Looking ahead to 2012 as we mentioned previously we plan to provide our basic guidance prior to the end of this year once we had to add more time to integrate Cephalon and to view our combined working. I would be happy to open the call for question.
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions) Thank you. Our first question this morning is coming from the line of (indiscernible) of Wealth Manager. Please state your question.
Unidentified Analyst: Great thanks guys very much for question and other color. Maybe Eyal and or Bill, can you just help just to be clear on the fourth quarter guidance maybe rain quarter the two or three key drivers sequentially that we should be focusing. And then maybe you could help us to, maybe reiterate what reflect to the commercially sensitive product exactly what is in and what is not in fourth quarter then I have a follow up.
Unidentified Company Speaker: Okay, thanks (Randal). I’ll start with some numbers and Bill will follow up with the business asset. As we said on this quarter is expected to be a different volume from Q3, we see basically growth all project for our business and of course the U.S. generic business with a longer term launch, which are already started in some other improvement and so some right on that you were able to believe we continue to grow with a stronger Q4 same for our international market are beginning to take backup capacity in Germany this quarter and the number of other smaller country respiratory business should have a stronger first quarter. So basically almost in every point in our business you see addition of course the addition of Cephalon that has Shlomo mentioned we expect to contribute $0.15 of sales. And then the acquire product that we can disclosed with an upside that is an upside our full quarter and Bill can provide more details on that.
Bill Marth: Yeah thanks for the question (Randal), just a couple of points in the first quarter really there is an opportunity it’s the time in U.S. generic vision we returned to and accelerating position, it begin to accelerate, it allowed the course by the launch on olanzapine which should contribute about $300 million, which we ship last week. We also get few other main product that should launch, I think the main one you would think of it would be Combivir and then if you are looking now of the drilled one that have been declined as it’s opining us in a position now for the right position for us to seek share and get share and volume gain. So, if you want to think about the business in the fourth quarter you think about this base business is about $850 million with olanzapine should be approximately $300 million, new products that – other new products in the upcoming quarter about $100 million and then we should get potential impact from the price increases that begin to well through as well as some share gain and all of this of course, but I just lay out it doesn’t include this important undisclosed product.
Unidentified Analyst: Which would be upside.
Unidentified Company Speaker: It’s upside through number is I just gave you, I think it’s need to be very clear with expected the range that are low into that range reflect not having that product for high-end of that range we drive housing some level of that product.
Unidentified Analyst: Got it, that’s helpful. And then let me just follow up as we looked the last couple of quarters, now the U.S. generic business is come down to probably where it had it flow low water mark from here, we’ve seen gross margins come down with that 100 to 150 basis points so, sales directly can you help us think about as that U.S. generic business take up – stay production, we think while the gross margin moving higher as well.
Unidentified Company Speaker: Yeah, if you remember Q2 last year we generated record high gross margin of over 62%, I don’t see as during the best level on putting Cephalon side because Cephalon as we’ll have a positive impact of our gross margin which come us as a branded gross margin in the first half with elevated margin, but on this several standalone business as today of gross margin for the year – first quarter should be anywhere between 59% to 60%. As a result of the changes in the mix of product and the rebound in the euro generic business olanzapine of course is a paragraph for activity product and few other improvement that we are able to.
Operator: Thank you. Our next question is coming from the line of Gregg Gilbert with Bank of America. Please state your question.
Gregg Gilbert: Thank you. Firstly for Bill, understanding the comps were tough in the U.S. generic business is that business overall performing like you thought it whether or there are some changing dynamics underneath that that we should understand again separate from sort of the chunkiness of big launches and my apologize for Shlomo, can you confirm and put some rumors to rest of the any changes in your management and the board being considered and may be separate from that, would you say there is more discussion you say that the board level about the prioritization of buyback versus dividend versus business development. Thank you.
Bill Marth: Gregg, I’ll start on, I think you referenced to the U.S. generic business is basically down to – it is down to the base business. If you think about the (indiscernible) you talk about the $560 million to the exclusive product say initially into the quarter up, that said extreme amount of money, well, I think it also different is in 2010 own we had a one point above, one point to a billion dollar in exclusive product in that plan. In the 2011 plan, we knew it will be a – in a further dry year and that has been very dry year, we’ve only look at this point in time expect about $350 million of exclusive cost. So, that’s we’re extreme change, but we are anticipating a returns of some about previous trend as we begin to pickup share and all those things as I mentioned earlier to around those question and again the launches in 2011 we’ve only had 13 in 2011 in total and just five in Q3. So, we’ve been wide in the launching lightening screws and have a better than impact because of the one in letter in June and now see we’re putting that behind us.
Gregg Gilbert: Okay.
Bill Marth: And Gregg, the question about the buyback let me show you that first of all a good level is whether is a company value and whether is today the different company is a sale approaching almost $20 billion, we are evaluating what is the best way to create value for our shareholder especially on the question of the total shareholder recurring or i.e., how much of pressure we’d like to withdrawn back to our shareholders and definitely, which is on our – we are considering and we are discussing it, but at that point of time I prefer to start (indiscernible).
Gregg Gilbert: Some of maybe I can hear them in terms of very own on returning cash to shareholders over the past 12 months we returned almost $2.5 billion to shareholder by our dividend came in to a share buyback redemption of growth and we will continue to evaluate the right way you look at to allocate capital without of course ignoring the need to maintain strong balance sheet and accelerate the service all this is the only things that we are taking into consideration? Thank you.
Bill Marth: And your part about meaningful changes, there is no management changes that I can tell you.
Operator: Thanks. Our next question is from the line of Ken Cacciatore with Cowen & Company. Please take a question.
Ken Cacciatore: Hi, thanks. I just wondering in Europe, you’re seeing to beginning share upcoming little bit better versus peer group. So wonder if maybe toward is that some of the trend you’re seeing there in some of the thoughts as we move forward into 2012? Thanks.
Unidentified Company Speaker: Yeah. sorry, Ken. There is a bottle falling over here, happy to do so. Just I think we have a great quarter organic growth and as you know us almost alluded to we had on the comparative base we grew 9% in our major five European markets of growth 14, if you take it organically which I think is really great and with the caption of Poland, Portugal, Hungary and France that was flat every market was during very, very well in Europe. As you also know each quarter is dynamics, we launches tenders right dynamics or M&A activity and that why every quarter is slightly different. And I think across Europe be quarterly fluctuation that we see in our any certain different European country or that we are so nicely spread. Net results are European business has been positive quarter-after-quarter, so it could raining in one particular country in one quarter. That also range of other countries were in the same quarter we have lot of sun shine you may remember that in Q1, we grew on every key European market except Germany were the decline. And this quarter all modified including Germany grew sales organically with an average of 14. So it just shown to you that I think our business model is making more resilient and more resistant to this different models and different dynamics we see in the European market. I think we can fix to what we said that the beginning of the year we expect every quarter as largely at quarter then the quarter before and I think were see continue to see if you third quarter of quarter on year-on-year. And next year I believe that middle in the price dynamics were seeing in Europe that will be a little bit more pressure but growth might be little bit more in the pressure with still expecting mid to high single-digits growth numbers to be possible for the European business.
Operator: Thank you. Our next question is from the line of Jami Rubin of Goldman Sachs. Please take a question.
Jami Rubin: Thank you. I got a couple of question so for I wondering if you could on the take a step back and helps us to think about what you see as the organic growth rate of North American generic business going forward recognizing this year was a particularly talent you got obviously some opportunities in 2012. But if you were consolidate take it step back and look at the long-term organic growth.  Can this business recover to the levels of growth to which investors had become a custom or should be all sort of recalibrate our expectations on that. And I have a question for Shlomo you are out with pretty aggressive long-term 2015 revenue and net income guidance. And I am just wondering just as it relates to the earlier capital allocation question. What is more important to you is that more important to you. If those targets which now seen even plus achievable given the revenue mix this quarter or returning cash to shareholders and this apologize here last question relates to the gain that you took this quarter on the acquisitions of Teva-Kowa and (CurTec). Just wondering what the revenue impact was revenue and earnings impact was from those acquisitions this quarter? Thanks.
Unidentified Company Speaker: And maybe I’ll take that – let’s say I’ll take the revenue question on Teva-Kowa in terms of the addition of the revenues of Teva-Kowa of this quarter is marginal or ratio because we just closed the deal very close at the end of the quarter. But by going forward, it will add something like $25 million for our Q4, the run rate since we recognized part of the revenues we were 50-50 with special unique revenue structure and we recognized something like two-third of the 75% of the revenues to begin within in a revenue recognition so, this is not (indiscernible).
Bill Marth: Jami, this is Bill Marth, yeah I think our great question about the long-term new of generics in the U.S. and where do you think about have a generic business is about a $5 business that will move up and down on an annual basis depending on exclusivity. It’s a great business, it’s growing by the largest generic business in the world and here so a quite some time and so we’re very excited about it. But the changes happening in the U.S. business if you think about our ability to grow, you got about $300 billion generic branded business in Europe and tell you about $50 billion IMS to the generic and then there’s about $40 billion in the IMS if you think about biologics which we are also chasing in different way and think about a core business about $210 billion of branded value for us to go after. And we’re excited and we are filed against $110 billion of that 210. The fact is progress world has changed and your ability was more NTEs, the ability to get first to file where your exclusive with semi-exclusive is most right. So, we see value coming from the more complex products, products like about (indiscernible) and other products that are, OTD that we marketed for a while products like that have complexity and we see more value coming from that. We see a bit more monetization happening and the value coming with strengthening in managed care, but it’s a great business, a little tougher to get some of that sustainable value, we believe we have the edge in order to do that. But again when you think about the business – think about that $5 billion base business moving up and down largely on those exclusivity and the technical challenging product.
Unidentified Company Speaker: Jami, let me speaking again, I’d like to thank you for the question and giving the opportunity to post on light on our long-term thinking so, let me first remind you that in 2007 we came with long-term strategy of plan, which was at that time to 2020, which actually further by 2012 we are going to be a $20 billion company and a 20% net profit and I went out at that time, not many people believe that we can do that. In 2010 and I don’t have to be long here because you see the numbers and you see where we are going to be next year even without giving you the guidance for next year out. My point is that long-term plans are actually giving you the kind of ultimate in kinds of goal which we would like to achieve and to make sure the company especially the company by Teva, everybody understand where we’re all heading, but we are doing it in smart way and we are not going to do anything just because if we put the numbers there. We believe this is achievable target and a reasonable target and I can – I will be more than happy in a separate occasion to share with you the full decent environment and the full reason as why we believe is the huge opportunity out there. At the center of that is about actually – about one where which is diversifying, we need to diversify covenants in the coming year, we just talked the deal about the euro generics part of the long-term strategy is to pay the generic business to the global part of the world where we have more opportunity for gross and for generic into gross, then gross for our specialty pharma business (indiscernible). We have to diversity our specialty business and this is up is the rationale on the Cephalon position. Now talking about your most specific questions on returning cash to the shareholders in the coming years for now we expecting to generate about $15 billion in cash. So first of all we have the source that I do also believe that also do believe what we are already have assets. So, as far as I seek now we don’t need and make up our good additional acquisition and another effect we like to talk with especially in the coming year in integrating and digesting the 2011 acquisition the Cephalon, the Taiyo and of course to drive more value with the partnership with P&G and some other activities that we are focusing on right now. By the way, the OTC idea of the OTC joint venture which I believe is a unique opportunity for Teva future was not on the rate of screen when we announced the 2015 just to show that are we’re living in dynamic changing role some (indiscernible) additional creative of what we initiate new business idea sometimes we are going to get revenues as we have on the (indiscernible), but this is the world really and we believe we have enough business segment that we can at the end of the day we believe is a balance growing business model. More specific compound on the cash as I said before let me fit, we understand the $20 billion company we have to feel different lot of different company and art of it of course how much of cash we like to return to our shareholder, management, and build our considering and discussing with. At that point of time I don’t want to elaborate more in that, that we definitely start our thinking and part of our overall question of what is the company way or the total shareholders occur in and what is the (indiscernible) to sum up I don’t see a big acquisition on my regular screen unless we talk about some complementary $200 billion in growing there profit of the role cash return on the consideration and we still believe that we can make this number and time will tel.
Operator: Thank you. Our next question is coming from a line of Louise Chen with Collins Stewart. Please state your question.
Louise Chen: Hi thank you for taking my questions. I just had a few. First question I had is undisclosed product opportunity is this something that has been discussed as one of your general opportunities before in the past is there something we never heard us before. And then second question is just on the Cephalon pipeline and another too early but could you give us any sense of what is in the key product that you’re excited about in the pipeline. And then last we just be (indiscernible) now that all the data is out there. Do you still feel confident by you previous conference go back in stability to maintain market share and right feel confident about that. Thanks.
Unidentified Company Speaker: Can you repeat the first one please?
Louise Chen: The first one is undisclosed product opportunity I was just curious is it something that you’ve mentioned before as one of our general product opportunity or is it something that could be complete new if it is announced.
Unidentified Company Speaker: Okay so, Bill will take the full part of your question.
William Marth: Yeah, Louise.  Let me start with the last part BG-12, I think the way and I think about this as secured with that you can do and to provide patients with options in the EMS space. We believe that oil therapy are important to patient and some of the data we see thus far the EMS market is streaming. So we’re happy with that and as well as appeared to be helping them. And we’re bringing patients either into the market and we brining back to market. So, either way they come to the market. We’re excited that we’re driving capacity and will be able to share in the patient to come into that market. With the second to BG-12 your goal, I think it’s premature and it’s a bit difficult from my advantage point to evaluate the result of decline or confirm, but again, we think that or do have a place in therapy. Your other question was with respect to the undisclosed product, I would just referenced due to our last call where we did talk about commercially senses of opportunity and I think that we were probably not want to say anymore than that. And then there was a third quarter that the second question, Cephalon pipeline. The Cephalon pipeline what I would tell you right now as we’re right in the middle of that evaluation right now. Kevin and his team is doing an extensive work we actually put the two pipelines together. I think a lot of exciting things in the pipeline from growth that are more challenging such as rather score that bring how potential to move trend the transformation on the marketplace. The products like (indiscernible) that we think are may be a little bit easier to gain from the market and although they are very important products to get into markets. So there is a lot there, so lot we have to go through and into this time we would reserve discussion of that pipeline and potentially we’ll be able to talk you sometime in 2012 about how we see the whole pipeline for Teva.
Operator: Thank you. Our next question is from the line of Elliot Wilbur of Needham & Company. Please state your question.
Elliot Wilbur: Thank you. And I guess the first question for perhaps you will some with respected capacity and growth trends in US. Certainly no secret does historically pricing leverages them key drivers of grow that franchise and its important while for two guys are taking price increase on the product. And just sort of curios what you think you may have changed about that market despite the obvious in trend system, therapy main factor interior ability growth products. The price increases of along going forward and then it was follow up question for you, Bill, and all the members of the team, you’re just stepping back and taking a look at Teva and specifically the U.S. generics. I mean one can’t help but sort of applying that if anything has changed over the last couple of years. Certainly I think it’s fair to say that the company’s risk reversion with respect to every four product launches seems to have increase. It seems sort of coincide around that the Protonix launch. So, so maybe going forward we shouldn’t be thinking about probability success on lot of the Q4 launches has been so high relative to historical launch. I know each one could actually judge and then some merits, but may be you guys this sort of comment on the general observation? Thanks.
Bill Marth: Hi, Elliot, this is Bill Marth. So, let me said all with the last part first with the U.S. generic market, you’re right and this transforming and there are – we took prior lot of period that affords that you find a lot of NCE. So, the desired for me to necessarily bring that litigation to the finish line only to share that exclusivity with after doesn’t other generic companies is currently from an economic standpoint is in a great value coming to do that. But I think you’re making connection that just because of the Protonix decision, which isn’t final decision and this point in time and for some reason we would be launch and I would disappoint to couple of products that we actually launched after Protonix with respect into grow at risk launches. I think they are still part of our business, which you find different as we’re not again in the cases that get us to that point that put us in position for in our risk launch. So, it’s the situation is like and every drug is different, in every litigation is different, it’s the situation is right, the litigation is right. We think we’re on the right side of the wall certainly we would still with reasonable review within tablet we are now records would certainly cautious, but we are careful and we’re calculated is from – is the opportunity present itself if we are doing, which reflected the back stone the point I would make there is year to go prescriptions were up 3.5% and we’re doing very well then with 2.5% over the same point in 2010. We are doing very well and that markets growing and enjoying that and be able to share of course at 30.5%. So the share is growing and we get a take price increase earlier in the year. Now I want to take more obviously on this call or in call in our next price increase we’re also always reflective of what’s going on in the market. So, the price increases in the market begin to slowdown we obviously will tell you that. What I don’t want to do is like I said many times before. We are the leading therapy in this particular area in multiple sclerosis and I believe our pricing should be reflecting – reflective about place and the standard of care. So, when I see the opportunity for price increase and I see that is appropriate for the business and for our shareholder, we would certainly recommend that. The one other point is that the franchise continues to expand and we are so looking at our lot of the LCI opportunity so we look for the Copaxone franchise to last a long-time.
Operator: Thanks. Our next question is from the line of Shibani Malhotra with RBC Capital Markets. Please state your question.
Shibani Malhotra: Hi guys so, I’ve got a few, but the first one is your original guidance for 2011 did not include Cephalon and now you seen to have added $0.15 of Cephalon yet you’re guiding to the very low end of our original range and is that of Cephalon I guess the top end with your kind of mystery product would be for 87, can you just explain to us how I guess what was in the year as you went through the year that may be bring down guidance this quarter so drastically and then I have a follow-up.
Bill Marth: Hey Shibani, this is Marth, how are you? I just wanted to with respect to your question the guidance change is reflective of the fact and the same thing wouldn’t happen this in the business and process you make this change. This particular product that we are talking about which was one other commercial sensitive and today is yet launched important product actually was much contemplated, much earlier in the year in fact we call we had an opportunity where we should have launched this product as earlier all the Q3 and that would have made a substantial change to this year’s plan. That puts some of the other one should of course within the generic business we can get and give us the slow down because of the one in Jerusalem, all of those type of thing led to the situation that we have today.
Shibani Malhotra: Okay. And then second when we first announced the Cephalon acquisition and all trying to look at the accretion for next year, I think the best kind of estimate we were getting is $0.25, would it be different now given you’ve done $0.15 of quarter, would it be fair to extrapolate that quarter and make it higher for 2012.
Unidentified Company Speaker: Shibani, well announced the acquisition of Cephalon we said that in Q4 we see $0.10 to $0.15 contribution and we also said that next year we see $0.20 to $0.25 and 2012 the Cephalon is converted different from Q4 of 2011 and this is may be a reason for the differences so, we can’t take the run rate to Q4 and apply to 2012.
Shibani Malhotra: And then just the squeeze one in when you say line is behind you is that mean that the issues or result or it not at my product and it is going on track as you can.
Bill Marth: Thanks, Shibani, it’s Marth again, Irvine is making great progress and trending up its operation. By the end of 2011, all 18 products on our line six will be manufactured and that represents 44% of our oncology product. On second line that also come up by the end of the year and the other final two loans come up by March of 2012. We anticipate cooperation by April to May of 2012, but remember we’ll back at the full run rate will be back and the full run rate of about $100 million on an annual basis at the end of the year. and again cooperation should be in May of 2012 and of course, this relates to the injectables that (indiscernible) injectable. And I think the last point that we continue to work close with the FDA drug shortage division to alleviate issues wherever we can be helpful.
Operator: Thank you. Our next question is from the line of Ronny Gal of Alliance Bernstein. Please state your question.
Ronny Gal: Good morning and thanks for taking my question. First, Bill, can you clarify a little bit about the $100 million. We can see a nice ramp up in the IMS, but you say about the $100 million, you made $120 this year or next year and if it’s not at the end of next year, by May when you fully ramp that, what kind of a run rate are you thinking the injectable business can generate? And second I don’t know if Lesley is on the call, but can you give us a little bit of round down of the branded Phase 3 programs, where they stand today and where do you expect the key programs to come to market over the next year and a half?
Bill Marth: Ronny, this is Bill Marth. With your second question first, Lesley isn’t here and so we are not in a situation today where we are ready to talk about the pipeline, because we talked earlier about some of the things that we think are exciting, but we are not really here to talk about the individual products that review actually Kevin and Lesley and all team are going through that right now. And hopefully we can get sometime after the first of 2012 in the back and be more of an innovative pipeline review to do there. On the Irvine question, that’s a $100 million run-rate starting at the end of 2012. There is a lot of products to get out there. There was 51 products manufactured at that site, about 10 of those products have been discontinued that made just 41 to run out for lines and we don’t really get up the full things until May.
Operator: Thank you. Our next question is from the line of David Risinger with Morgan Stanley. Please state your question.
David Risinger: Yes, thanks very much. A number of my questions have been asked already, but regarding your expectation for a strong U.S. fourth quarter, Bill I was just hoping that you could sort of frame what type of year-over-year growth you expect, whether that’s strong means double-digit year-over-year revenue growth excluding that product that may or may not want in the fourth quarter? And then Eyal I was just hoping you could frame for us your one-time item accounting policies for non-GAAP EPS at least I wasn’t aware that the one-time gain was going to subtract from G&A in the quarter. So, if you could just comment on your accounting policy and also whether your fourth quarter EPS guidance for non-GAAP EPS includes any one-time items that we should be aware of?
Eyal Desheh: Okay. Well maybe I should start from the last question, it’s Eyal. And start from the end of your questions we currently don’t have anything like that in our guidance, but we think these transactions come and go and they might have something just not of the size we have seen this quarter. Basically, yeah, you are right, this is indeed included in our G&A line as accounting treatment which reflect the value created as a result of this transaction regular accounting practice to include it in G&A. In fact in the past we included capital gain as a reduction to our G&A. And but given the size we gave particular note in our press release for a complete disclosure of that. Given our business model, we will see more of these in the future with the Teva portfolio of project shares and investment and company and one module companies and the Cephalon portfolio will have more of those in the future. So, this is not one-time and probably not the last time.
David Risinger: Yeah, David.
Bill Marth: Yeah, David. Just the answer to your question frankly, I don’t remember the 2010 generic numbers up the top of my head, but let me just take you through the way you think about it one more time, which is you think about our base business which is about $850 million. I would think about an Olanzapine launch, it’s in the range of $300 million. Additional new product launch opportunities have added $100 million and then there is some contribution from price increase. And all of this of course does not (indiscernible) and orders does not include what we talked about this important undisclosed product.
Unidentified Company Speaker: Bob, next question?
Operator: Thank you. Our next question is from the line of Chris Schott from JPMorgan. Please state your question.
Chris Schott: Great thanks very much. First question for Shlomo and thanks for some other comments on the long–term guidance earlier. Just following up on that you have a $31 billion top line target for 2015 that obviously includes future business development. Can you just comment how close you would be to that 2015 target based on the assets you have in house today. I guess are we fairly close to that number if we’re just kind of use assets today go forward up 2015. And following up on that is there any thought on providing longer–term guidance that this not include future business development just help investors better understand your expectation on the core business any assets you have enough today. And leaving future business development and share repo repo KETS and more in upside driver?
Unidentified Company Speaker: Okay. Let me start with the first one, as I said before I see that right now we have the basic discrete assets to make our future numbers. If you state what I called complementary acquisitions of market share in attractive going there parts of the world or if you research some molecules to enhance strengthen our specialty pharma, which is two types of kind of complementary in terms of acquisition we are not then think complementary I’m talking about $200 million most. So, just to make sure if you are in the same measurement of scale. Like any other things acquisitions and things are very opportunistic kind of products. So if in the future (indiscernible) are very attractive from the business from average point of view make a lot of sense on the economics which are the two major criteria for Teva acquisitions then of course we will follow this rationale that as you see it now, we’re not expecting more of that in the coming year, I believe we can get here by the current asset with the what we acquire what we should add to that something as I mentioned before it was not in our plan which is healthy field very attractive our new business segment for Teva, which I believe we’ll think about a different kind of type of business with the different numbers in level. So all in all I see that we are equipped product for that kind of exception I mentioned regarding the pension future acquisition. And what is the second part of your question?
Chris Schott: I guess you can’t answer that. But is there any thought of providing maybe longer term guidance number that is not inclusive of future business development share repo etcetera and leaving those markets upside drivers to numbers versus current target today that kind of improves everything.
Unidentified Company Speaker: I don’t think right now we are going to be with more long-term senior business probably as far as I know the only company in our industry that dealing with these kinds of long-term objection or guidance. It’s not a guidance, it’s actually as I said before we can grow some roadmap how to grow there, how to get there. But we try our best to share with our investors we’re all heading and what is the rationale of beyond our activities in our operations. So, if we come to conclusion of after it deserve which kinds of more long-term perspective approach will definitely we share with you I believe that you may understand our business and where we heading the better for our shareholders as well.
Chris Schott: All right great. Thanks very much, and then just a quick question for Bill. Can you give us a little bit more flavor on what the rate limiting factor is on this undisclosed product for 2011. Is it something you’re dealing with competitor blocking in approval is this the legal issue with FDA is it some complexity with the product the same approval I guess this year any more color on that?
William Marth: Chris I appreciate the question but we’re really can’t providing for the clarity than we have.
Chris Schott: Okay. Thanks very much.
Operator: Thank you. Our next question is from the line of David Buck of Buckingham Research Group. Please state your question.
David Buck: Yeah, thanks for taking the question. I just wanted to first clarify just some of the expectations for fourth quarter applying for Bill if I look at your different drivers looks like your targeting without the industry product again disclosed product of about $1.25 billion so kind of flattish U.S. generic business. And then maybe the new product adds for Gerard. Can you talk about what type of the pricing in volume growth you’re expecting in the European business in the fourth quarter and then if were look at just the Cephalon acquisition. Can you just confirm that reverse core reasonable at sink will molecules are still in the pipeline? Thanks.
Unidentified Company Speaker: They would I will try to take couple part to that, first of all with Cephalon, I think you said (indiscernible) broke up there are not sure.
David Buck: Yeah in the means of last for best quarter product opportunities that’s still product you said you were excited about it. But it actually in the still part of pipeline and actively being developed.
Unidentified Company Speaker: Yeah. There is still part of the pipeline at this time. The comments about US generic piece, Bill, I think been about specific and were expect that could be through the fourth quarter which is I think growth improvement near on. We are moving on the right direction and although well I talked about the day (indiscernible) new product price increase all of that put as in great position for Q4 and on lease acceleration and that will contributed the significantly to our guidance. I guess the last question that will be Yitzhak.
David Buck: Right just the European expectations in the fourth quarter.
Yitzhak Peterburg: Yeah. Thank you for question. I think it’s difficult to be precise on the quarter. But I’ll give you the dynamics as you know as destruct before some markets go up some go down in terms of we get the launches, we get the products even in the markets so, that’s why it’s bit difficult to give you that the overall let me tell you the following on the number that will only expect this out. Price erosion in Europe first ranges between minus three and minus eight through the months end depended they what government takes would action at what time. So that’s roughly you what you see happening on average we’re setting somewhere around 5%. Yeah. But you have somewhere up just about 5% but around (five) and the volume at growth was 7% on existing products 3% on launches. And there are on no dynamics inched of today, that make me think that these of numbers are going to be much different in the coming quarter or in the running quarter as we speak I think the overall market should be grow somewhat between 3% or 5%.
David Buck: Great. So you looking at this quarter, for December quarter end, we actually acquisition benefit but you still see some color more single-digit revenue growth sounds like it will be expectation.
Yitzhak Peterburg: We continue like we did if you normalize for the acquisitions, so you would assume that, it wouldn’t been part of our business with full quarter the Ratiopharm and Paramax. And numbers are described in the paper as few in the personnel leases as organic growth that it’s in Europe 7% or 8% 14 for the major market. And we do not expect to see at least for the overall European number at different number for the quarter.
David Buck: Great, thanks very much.
Bill Marth: This is Bill Marth, I want to make me to share you got which you needed growth infusion on the side that it’s was in clear with respect to our guidance. Again with U.S. generic came in the right direction are very, very sure we will beyond our low end of our guidance. If we are not to get our important underscore product, and but will cost upper range of our guidance would be though certain conditions on the long that important underscore product.
Operator: Thank you. Our next question is from the line of Marc Goodman of UBS. Please take a question.
Marc Goodman: Few questions, first Bill can you elaborate on one of the comments you made earlier which was in the US generic business you said the paragraph or business is not, is good going forward it was a little confuse by that number one. And number two, I am curious in the emerging markets just over the past month or two as things of really slowed and the lot of these markets are out of pocket to pay for drugs if you notice, the business slowing since the end of the third quarter just October really just the past month as what I’m asking about. And then the third question is for Eyal and there is two of them, one is I’m a little confused on the comments you made about Cephalon why would you have $0.10 to $0.15 of accretion in the fourth quarter but only $0.20 to $0.25 for the full year of 2011. And then second question ask to do with this $135 million gain and so not I don’t quite understand what exactly happened and maybe you can point to a few times in the past where this is happened before and it’s actually what’s going out here. Thank you.
Unidentified Company Speaker: Hi, Marc. It’s (indiscernible) speaking, I’m going to take first of the moving market and then being to the paragraph of your answer and then we haven’t closed with the first part of your question. We are not seeing any problem in the emerging market let’s say Teva is the emerging markets country where we are operating any payment or connection letters the business that we see including the beginning of this year quarter is used to before and I can tell you at least from our point of view there is not any problem that area that respect of course in certain countries that you see right part of it because if we are not operating there and part of it because this is the different segment in the industry or other macroeconomic situation in the given country that make along pretty short we are not having any problem in that respect as we see it now.
Unidentified Company Speaker: Bill?
Bill Marth: Yeah. Let me just make a couple of comments on our Paragraph IV, I think, what you really you want to think about on Paragraph IV it was more challenging today than it has been in fact. When we have large amount of MTEs and you can have multiple first filers on the desire for us as the company to want to necessarily press that key for all the way to the finished line, often times it’s not there and so, we will take a settlement to will active the case. It’s just one of those issues that Paragraph IV has been a great opportunity but it’s fundamental changes, more MTEs, more difficult patents in years pass we were able to enter often times by filing on secondary patent. But now on the secondary patents we got more difficult, we have challenging compound patent and the compound patent themselves are very robust. And so we have to wean there is a much more difficult. So that wasn’t mean Paragraph IV goes away. It just means Paragraph IV seem to change there is not as many opportunity grow the lot of opportunities in more technical challenging products they are absolutely kind of products to pursue as I mentioned earlier about $210 billion an innovative value and we’re filed on about $117 billion of debt. And we feel pursue Paragraph IV where they make sense and to our – why not we got the large portfolio of Paragraph IV and first files in the market were $55 billion. But again it’s different from than what it was on just five years ago. And so we seek value in a different way and that’s we’re doing and I think all of the things we should capture was the beauty of what Schlomo put together with respect to our strategy because you needed to diversify from the U.S. market because we don’t like the U.S. market, in U.S. market it’s a great business $5 billion business that we grow up and down in that range of one year restricts may be that will be a little bit less all depending on technically challenging products and Paragraph IV when we can get them straight but diversify way from U.S. and into Western Europe and into Japan and into Latin America becoming the global concern and an excellent strategy and I think this that optimize not appreciated when we can think about Teva is being a number generic player in North America the number one player in Western Europe and soon hopefully among the number one player in Japan. Our largest market in the world and then we’re having substantial positions in high growth market like Latin America and Russia. I think those staying have been absolutely tremendous and that’s been driven by all the strategy.
Eyal Desheh: Okay, Marc. It’s Eyal on the Cephalon Q4 $0.10 to $0.15 estimate of contributions of profit Cephalon in Q4 2011 is running full steam ahead. Next year in April, we are losing Provigil, the costs synergies will takes time to build up although some negative sales synergies of business that we are losing of course the financial expenses right now were ship bridge loan, but we are willing to replace it was long-term, which will cost more all in all that is how we calculated this about $0.20 to $0.25 contribution to profit next year. the following this year for us to double. On the $135 million in G&A let me correct it what is accounting put then find the pretty question and they basically when a company gains control and the company that it owns a part us which has a minority into us the accounting statement requires you to reflect the value of the company being acquired as our P&L enter. This is the accounting practice, it’s a new standard a little over two years ago and that’s what every company in the market is doing, but is not always providing all the disclosure which are disclosures because it’s a little large that notable and this is why we had we clearly executed an option that moved up 20% or 19% of 75% ownership and the value there was very, very conservatively calculated. At Teva- Kowa moving for 50% to 100% ownership required us to report a gain and this is what we’ve done, these two be able in original plan for the year we just in when this is going – this is going to happen and happen in Q3, I hope that.
Operator: Thank you. The next question is coming from the line of Tim Chiang of CRT Capital Group. Please state your question.
Tim Chiang: Hi, thanks. Schlomo, could you talk a little bit more about the additional trial for in the quarter might you mentioned that early in the call that  you talk with the FDA about that product.
Shlomo Yanai: I briefly provide more in that.
Unidentified Company Speaker: Yeah, I think at this point in time we were just want to say that we’re going to continue to expect (indiscernible) as we believe it is important for patients, now the therapy option it’s positively impact it’s ability with a high degree of safety. It’s got a great profile and so I think that profile yet need to be explored, we will do that. We believe that the FDA is as increased by looking into visibility issue as we are and so therefore they’re going to help us as we look forward looking at a design
Tim Chiang: Okay, great. And just a follow-up for AL, is there any sort of free cash flow guidance you can provide for the fourth quarter given the variability that we expect we’ve seen on free cash flow over the last couple of quarters.
Unidentified Company Speaker: Yeah, we don’t provide cash flow projection or guidance, but basically Q4 will be in line with Q1, Q2 cash flow of the quarter already are month into the quarter started very strong so, we’re going to get back to those level about $1.1 billion, $1.3 billion in third quarter operation.
Tim Chiang: And then one last question, you mentioned the object post closing of the Cephalon will be around $14.7 billion, what’s the average cost of that for you right now?
Unidentified Company Speaker: Right now, we are most of this is going on the bridge loan at LIBOR plus one we sold, but we go the bond like it and we pay whatever the market will try that was, but given the current rate we hope to get a good deal on the (bond IT).
Tim Chiang: Okay, great. Thanks.
Operator: Thank you. Our next question is from the line of David Amsellem with Piper Jaffrey. Please state your question.
David Amsellem: That just a couple, first you mentioned lower receivable collection, I just want to clarify are you seeing any issues in customers in particularly as you grow in the emerging market that will be more concerned about selection or this is more of a timing issue on the third quarter and then the second question is that clear 2015 of you previously mentioned several billion dollars of the revenue from additional acquisition needed in order to liquidity $1 billion top line charges 2015. So its I guess the question you’re targeting more dividends and buyback how can you be able to make the kind of acquisitions to it the long-term project and what is that mean for that levels on a longer term? Thanks.
Unidentified Company Speaker: Okay. I’ll take the first one on the collection, the lower collection we had basically separate for very strong collection effort we having keeping and previous quarter and I will outstanding in slowdown in region market. So I would other question the world collection there as we extended some payments here in Q2 and during the beginning of Q3 that cross a little bit. The time line of the quarter and it was biological at the beginning of Q4 or so, it’s really a one-time singled out event and it’s nothing to do the market condition.
David Amsellem: And can you repeat please your second part of your question?
Unidentified Company Speaker: Sure, still on the aspiration starting $31 billion of revenues to 2015 the questions is I think you have mentioned previously that roughly I think $4 billion to $5 billion acquired additional revenue I guess the target of 2015, I think earlier question is with the additional buyback are dividends that you are contemplating. How you are able to view goal expanding and what is that imply for your just levels over the long-term.
David Amsellem: First of all I don’t never on said launch we need more acquisition launch for get there. I think that’s in 2011 after acquiring Cephalon, Taiyo and after acquiring business lots here. We have the assets that we need in order to go forward and therefore if you slip what I mention what I called complementary acquisitions for both segments of the business not see any more big acquisition on whether still going forward. So, we believe this assets can regarding growth and with license business initiatives like the P&G and (indiscernible), we can get that and for the rest of your question what we are going to do with the cash flow generation I think with covered all of you my previous question we are considering the definitely that size is revolving down the company when reached the side of $20 billion, we should think different when we are $10 billion company on how you should get back your shareholders cash and for that respect we are considering it and in this time we’ll of course we will shared with you.
Operator: Thank you. Our question is from the line of Frank Pinkerton with SunTrust. Please state your question.
Frank Pinkerton: Hey, thank you for the question. First question I think for (indiscernible) give on really kind of (indiscernible) of the European business overall sometime. Could you in just ramp to scenario that if the current situation we have with the European Union this integrate and that becomes multiple countries or maybe multiple geographic areas. How is that ultimately impact Teva’s business across Europe?
Unidentified Company Speaker: Well frank that’s a big one. It’s question in many people are trying to on today. I think the monitory system on which Europe is running is to Southern extent and environmental fact with healthcare. Healthcare has been organized at European level on the country level in the very little European integrative work going on there. Other than regulatory compliance element that are being from Brazil most of the innovation of the economic arguments. Would you see in managing healthcare budget in Europe is local policy and has always been anchored like this in European treaty and that hasn’t change in the last 10, 12 years, since the timing of treaty (indiscernible)? So the effect of all of the economic turmoil in Europe is over to be indirect through authority or other message that might be taking by government to managed care it’s in the budget and when they do that, when they look at healthcare budget. We think that Teva is pretty well position take it advantage of that. Our portfolio product allows us to the part of the solution rather than part of the problem and if prices are lower and if prices are lower than the branded on the reimbursed level of it then never on the level of the transaction that we are having with our customer for generic products, that’s one. And two, you see that very often when price is eventually taken other than eventually is now taken is stimulate utilization of generic product across Europe and I think those two elements is you see these (indiscernible) and the savings measures being rolled out in Europe and so far in every incident proven to be net-net in our advantage so, there is no connection with 101 with the economic term in Europe with healthcare as it pull out of that you see a therapy measures and within that I believe generic companies have beside in the presence at Teva. We’ll benefit more from within that will suffer from it.
Frank Pinkerton: Great, thank you. And just as my follow-up question and I’ll put us how, but can you please quantify for me a dollar impact on management compensation that the shutting of your volume facility in the delays in manufacturing is just one add. If there is no actual dollar impact, what’s the less than ultimately that’s ever taken away from the two facility and the steps that have gone into make sure it doesn’t happen it other facilities in the future. Thank you.
Bill Marth: Frank, this is Bill Marth, I think that the first part of the question, but I got some part about what we can. I think that what we’ve learned. I think Shlomo said it well in his discussion where he said that quality for Teva is a number one priority, it absolutely is and we seek to pursue it in a fashion. Whenever we get (483) is that any facility we take that 483 and we respond to it and most of the responses are took for that facility we’ll just responses for the Teva network and that’s a very large network. So, we’ve taken this to rather than all facilities need to be compliant and to share the best practices in the industry and that’s what we are implementing. They are absolutely on short customer with respect to quality and with our lessons learned here is that we have to stay diligent and proactive because this many sites is something that keep up and I think that’s probably a lesson learned.
Shlomo Yanai: And this is Shlomo, let me follow on then if you used the word lesson fluent is that we has the largest tour pharmaceutically to do so on here next year is going to be almost about $80 billion build that’s grow, that we were understand one of the top gear in more than 60 sites along the world and you had such a big infrastructure and such a biggest profitability you have for even better area as well and what we are really doing is something on the for the time for certain around as we’ll said after every inspection when there is SBA, EMEA, or others regulatory agencies in the world, which I need to implemented around the world and all facility to create the highest quality in front of that we can. We believe this is our first obligation and there is not anything that is helping us to do that beside the time that needed to implement in such a huge infrastructure around the world. This is our commitment to our patients to be at VA and we are going to do as our first priority.
Unidentified Company Speaker: Bob?
Operator: Thank you. Our final question comes from John Boris of Citigroup. Please state your question.
John Boris: Thanks for taking the question. So, Bill, just a couple residual questions on the Atlanta paying $300 million that you called out is that include sales of the 20 milligram by think you have an agreement in place with (indiscernible) is the 20 milligram I think accounts for significant portion of revenue and then with at the store what in preliminary in junction in place, can we get an update on the regulatory status on your generic Lovenox application and this is still an opportunity for you and then I have one follow up for Shlomo.
Unidentified Company Speaker: Thank you, John with respect to Alanta being the value I gave is all strength and so that includes the 20 milligram as well. With respect to (indiscernible) in their situation I really can’t comment too much on (indiscernible) and as far as we update on our product and continuing situation what we would say this there is no update until we producing update. That said I think in our occupancy provide the compelling value we’re still excited about the product. And so we’re continuing into pursue.
John Boris: Thanks for that. And Shlomo certainly through the acquisition strategy that you had over the last 24 months Ratiopharm, Cephalon. Taiyo, also to P&G joint venture. Geographically you’ve diversified the business however, I think your form (20F) clearly indicated that on a product basis you don’t want to be heavily concentrated in anyone product. You certainly lessoned the dependence on Copaxone pretty significantly we estimate capture mid 20 to upper 20% of your earnings in 2012. Is that a factored a level for you or is there a certain level of product diversification that you might see going forward for Copaxone to be contributing as far as less of your earnings and how do you plan on doing that?
Unidentified Company Speaker: Well, as we are doing this in the global level we would like to do it in the blended business as well. And I, we have position of Cephalon which is 3 billion reason for that was a direct to the diversify our blended business and if you do only a pro forma before and after the acquisition we feel immediately the impact on the using the Copaxone share in the overall sales of blended portfolio. So, we believe as I said in my script that about we have right now a very interesting pipeline of about 34 about in the late stage, which is Phase II, Phase III in different area of different operated areas that some of those products of course not all of them you all know this the likelihood of getting product to be market. But I believe these are going to provide a very good future for the Teva specialty pharma business. We believe that if that we actually haven’t call, as I said all the attitude in this area. Right now, pro forma wise in 2010 numbers, the blended business is $7 billion, we targeted by 2016, $9 billion, so, I believe that we will have all the needed of assets we all to get there of course this is also an opportunistic area and if we see kind of a very attractive molecule will growth rate by the way. It just in Q3, we have the very good examples of that we acquired the straight in (CurTec,) a small company, but it’s very interesting in very great future for in a great kind of a molecule of course it will take longtime to develop, but please that’s why we went there. So, if we will see often other to attractive opportunity in that level we will proceed. But on the whole as I said I think that we are having the right method that we need in order to believe that identification in our blended business and please bear in mind that beside this two business segment with a generic and blended, we also have another two pillars that are relatively on, but it’s very interesting future, which complete the overall strategy one is the OPC and the first one is the bio-similar that we are going to see of course in the longer term, longer than the 2016 time milestone that are definitely part of our future.
Operator: Thank you. I would now like to turn the call back to management for any closing comments.
Unidentified Company Speaker: Thank you very much for being with us today and I wish you a good day.
Operator: Thank you. Ladies and gentlemen, the replay of this teleconference will be available on Teva’s website at www.tevapharm.com. This does conclude today’s teleconference. You may now disconnect your line at this time. We thank you for your participation.